Operator: Good afternoon. My name is Rob, and I'll be your conference operator today. At this time, I'd like to welcome everyone to the iHeartMedia Third Quarter 2022 Earnings Conference Call. [Operator Instructions] I will now turn the call over to Mike McGuinness, Deputy CFO and Head of Investor Relations. Please go ahead.
Mike McGuinness: Good afternoon, everyone, and thank you for taking the time to join us for our third quarter 2022 earnings call. Joining me for today's discussion are Bob Pittman, our Chairman and CEO; and Rich Bressler, our President, COO and CFO. At the conclusion of our prepared remarks, management will take your questions. In addition to our press release, we have an investor presentation available on our website that you can use to follow along with our remarks. Please note that this call may include forward-looking statements regarding our financial performance and operating results. These statements are based on management's current expectations and actual results could differ from what is stated as a result of certain factors identified on today's call and in the company's SEC filings. Additionally, during this call, we will refer to certain non-GAAP financial measures. Reconciliations between GAAP and non-GAAP financial measures are included in our earnings release, investor presentations and our SEC filings, which are available on the Investor Relations section of our website. And now I'll turn the call over to Bob.
Bob Pittman: Thanks, Mike, and good afternoon, everyone. Thank you for joining our third quarter 2022 earnings conference call. We're pleased to report another quarter of solid operating results for iHeart and consumer usage, revenue and earnings growth. Before I take you through our results, I want to thank our team members who made this performance possible. And in particular, the inspiring local teams who worked tirelessly through Hurricane Ian and in some cases, even put their well-being on the line to ensure that listeners could find critically important updates safety information, resources and above all, a vital personal connection when they needed it the most. Radio is often the only media platform that is consistently available during natural disasters, and we're proud of this critical role we play in our communities. The strong community connection and dedication to serve, especially in times of crisis and need is what sets radio and indeed our company apart from all other media. Now let me take you through some of the highlights of our performance. In the third quarter, consolidated revenues grew 7% compared to prior year at the high end of the guidance range we provided of approximately 3% to 7%. We generated adjusted EBITDA of $252 million for the quarter, also at the high end of the guidance range we provided of $240 million to $255 million and our Q3 adjusted EBITDA margins were 25.5%, a 70 basis point improvement versus prior year. We believe the company performed well in an uncertain macroeconomic environment. Growing adjusted EBITDA by 10% compared to prior year. Our performance in this environment is a strong indication of the successful transformation this company has undergone where our high-growth digital revenues comprised 26% of total company revenues. It's clear that our digital business is now significant enough to meaningfully impact our overall financial performance. Turning to our individual operating segments. The digital audio group continues to deliver industry-leading growth according to MAGNA with revenue for the quarter increasing 23% versus prior year, adjusted EBITDA increasing 17% versus prior year and adjusted EBITDA margins of 31%. Within the digital audio group, our podcast revenues, which grew 42% versus prior year, outperforming the overall podcast industry growth of 22% year-over-year according to MAGNA and our digital ex podcast revenues, which were up 15% versus prior year, also outperforming the industry growth of 10% year-over-year according to MAGNA. As a reminder, included in our digital ex podcasting business are our streaming products third-party extension products, social, OTT, display advertising and our ad tech businesses. This range of products allows us to offer holistic advertising solutions, leveraging our deep relationships with our consumers to our tens of thousands of advertisers. All of this is powered by our sales strategy of any seller, anywhere can sell anything, a unique iHeart capability that is executed by the largest ad sales force and audio and with the unparalleled ad tech solutions, we now offer our advertising partners across our multiple industry-leading platforms. In September, according to Podtrac, iHeartRadio was again ranked the #1 podcast publisher in the U.S. with more monthly downloads than the next 2 largest podcast publishers combined, as we've noted before, publishing is by far the most profitable segment of the podcasting industry, and it remains our focus. We continue to be the largest podcast publisher in the U.S. with the widest range of and highest ranked content as measured by Podtrac, and we're the only publisher with ranked content in all 19 categories. We believe our experience and capabilities as audio content creators, combined with our unique ability to promote and build audiences for our podcast through our broadcast radio assets, which reached 90% of U.S. consumers every month gives us an important edge. With that leadership position and with those assets, we believe we will continue to take user and revenue share in the expanding podcast marketplace, while maintaining our strong podcast EBITDA margin. Turning to our multi-platform group, which includes our broadcast radio networks and events business. In the third quarter, both revenues and adjusted EBITDA were essentially flat compared to the prior year, and our adjusted EBITDA margins were 31.4%, our multi-platform group has again demonstrated its resiliency during this economic period, generating adjusted EBITDA margins in the low 30s, which we expect to expand as revenue recovers over the long haul. The multi-platform group will also benefit from this year's political ad spend due to our unique speed to market, scale, reach and data capabilities. I also want to remind you that each month, the radio assets reach more than twice as many people as the largest TV network, 5x more than the largest ad-enabled streaming audio service and slightly more than even Facebook and Google in the U.S. This unparalleled consumer reach gives us the unique ability to create new products and platforms from the iHeartRadio app to events, podcasting and now to even the metaverse as well as providing a truly unique asset to our advertising partners. That unparalleled reach, along with radio pricing per user lower than most other major media, combined with our ad tech platforms and the unified buying platforms emerging at agencies and clients gives us confidence in the long-term growth potential of this segment of our business. Before I turn it over to Rich, let me share a couple of additional thoughts with you. Although advertising has certainly softened since the robust performance we saw at the beginning of the year, we don't think advertising has been as hard hit by an economic downturn as it would have been in past times. Let me tell you why we think that is. The people controlling advertising decisions today are, in most cases, the same people who controlled advertising decisions during the last economic and advertising downturn. According to Analytic partners, advertisers that cut their advertising budgets during the last recession, saw their sales decline by approximately 18%. And while those who maintained or increased their advertising spend over that same period, saw their sales increase by approximately 17%. We think advertisers learned a stark lesson, which we suspect is causing many of them to moderate advertising cutbacks. In looking at our data year-over-year, we also see a revenue growth rate differential between large advertisers and the long tail small business advertisers, and the fact that our advertising partners skew towards the larger companies relative to the SKU of the big digital advertising companies is probably a slight advantage during this period of uncertainty. As a final thought, I'd like to give you some insight into how we think about investing in our business. We believe that the focus of any new products always needs to be profitability even in the earliest stages. This belief guided us as we built the iHeart radio app as we build our tentpole events like the iHeartRadio Jingle Ball Tour, the iHeartRadio Music Festival, the iHeartRadio Music Awards and more and most recently, as we built out our podcast business. Now as we look at our next new platform, the Metaverse, we remain committed to building for profitability as well as users, even though we're in the very early stages of development. In the third quarter, we launched in the Metaverse, building iHeartLand in both Fortnite and Roblox, partnering with State Farm, Intel and other sponsors and reaching millions of users immediately. Among all the games available on Roblox, iHeartLand is among the top 1% based on daily active players and total daily playtime. And on Fortnite, among our competitive set iHeartLand is in the top 1% of maps based on player counts and playtime. These Metaverse launches were hit with consumers, but more importantly, they were done profitably. We have also used the flywheel effect of the unparalleled consumer scale of our radio business and leadership position across audio, our rigorous cost discipline and our strong monetization engine to build platform after platform for future growth, and we've done it while making sure that each platform is a profitable one. We can assure you that as a management team that we will build new adjacent businesses, and more importantly, as we do so that we will continue to focus on profitability and free cash flow. As we look ahead, we continue to transform the company, and we're also proactively preparing should a prolonged economic downturn occurred. We believe the strong positions of our digital audio and multi-platform groups with both consumers and advertisers give us the ability to navigate through this period of economic uncertainty and position us for continued growth through the recovery and beyond. And now I'll turn it over to Rich.
Rich Bressler: Thanks, Bob. As I take you through our results, you'll notice that, as Bob mentioned, we performed well despite the uncertain macroeconomic environment. Turning to Slide 19 of our investor deck. Our consolidated revenues were up approximately 7% year-over-year at the high end of the guidance range we provided of up approximately 3% to 7%. Excluding the impact of political, our consolidated revenues were up approximately 4% year-over-year. Our direct operating expenses increased 14% for the quarter, driven primarily by the increase in revenue, which drives higher content and profit sharing expenses, third-party digital costs and expenses related to the return of local and national events. Our SG&A expenses increased 3% for the quarter primarily driven by onetime charges related to our cost reduction initiatives we began in Q3 and higher sales commissions due to higher revenue, partially offset by a lower bonus expense compared to our over target bonus performance in prior years. Our third quarter GAAP operating loss was $211 million compared to an operating income of $80 million in the prior year quarter. As a result of a noncash impairment of $302 million on our FCC licenses. Prior to this impairment, we had approximately $1.8 billion of intangible assets in our balance sheet related to FCC licenses. And each year, we are required to test these intangible assets for impairment. The fair value analysis is highly sensitive to changes in weighted average cost of capital and the significant increase in interest rates since March has triggered a noncash impairment on those intangible assets. Our third quarter adjusted EBITDA was $252 million compared to $230 million in the prior year quarter at the high end of the guidance range we provided of $240 million to $255 million. If you turn back to Slide 4, I'll provide additional color on the performance of our operating segments. And as a note, there are additional slides in the investor presentation on our segment revenue performance. Digital Audio group revenues were up 23% year-over-year and adjusted EBITDA was up 17% year-over-year. Within the digital audio group, our podcasting revenues, which grew 42% year-over-year and our non podcasting digital revenues, which grew 15% year-over-year. As a point of reference, Slides 7 through 12 in our investor deck show in detail the podcast ecosystem dynamics, and our leadership position in this high-value segment of publisher. Looking at the digital audio group as a whole. Margins declined slightly in the third quarter to 30.8%, down from 32.6% in the prior year. This decline is due to the timing of certain expenses related to content launches in this quarter, and we feel confident that the adjusted EBITDA margin for Q4 will be back in the 35% range. Multi-platform group revenues and adjusted EBITDA were both essentially flat year-over-year. Excluding the impact of political, multi-platform group revenues would have been down 2% year-over-year. Multi-platform Group adjusted EBITDA margins were 31.4%, up 70 basis points sequentially from 30.7% in Q2 2022, and down 20 basis points from 31.6% in Q3 2021. And as a reminder, slightly over half of our political spend occurs in the fourth quarter. Audio & Media Services Group revenues were up 18% year-over-year and adjusted EBITDA was up 33% year-over-year. These increases were primarily attributable to expense management as well as radio and TV political revenues within our CAPS business. Turning to Slide 23. There is a summary of our debt. At quarter end, we had approximately $5.3 billion of net debt outstanding, which includes a cash balance of $295 million. Within each quarter's performance, we also continue to improve our net debt to adjusted EBITDA ratio. We have now moved that ratio into the mid-5s, and we expect to continue to make progress towards our goal are moving that ratio to approximately 4x through expanding adjusted EBITDA as well as to efficiently converting these earnings into free cash flow and using that free cash flow to reduce our overall debt. As highlighted on our past calls, we have no material maintenance covenants and no debt maturities until 2026. In the current macro environment, this type of debt profile positions us to be both resilient and opportunistic in responding to debt market developments. In Q3, we proactively repurchased $75 million of the principle of our 8 3/8% senior unsecured notes, adding to the $114 million principal repurchases we completed in Q2. As of September 30, we have repurchased a total of $189 million of our 8 3/8% senior unsecured notes, resulting in annualized interest savings of approximately $16 million. We have been able to repurchase these notes in the market at a meaningful discount to their par value, generating both earnings and free cash flow accretion. We will continually monitor market conditions and look to further improve and optimize our capital structure as opportunities arise. In the third quarter, we generated $63 million of free cash flow when including the proceeds from real estate sales our adjusted free cash flow was $70 million. Our cash balance is $295 million, and our total available liquidity is $718 million. As Bob highlighted, we remain focused on free cash flow generation and are committed to utilizing that cash in the amount that creates the most value for our shareholders. Despite this uncertain environment we've been discussing, our business has continued to achieve year-over-year growth in both revenues adjusted EBITDA and free cash flow. Now let me provide you with some specific guidance for Q4. We expect our Q4 2022 revenues to be up approximately 2% to 6% year-over-year. We are still closing the month of October, but our preliminary October consolidated revenues were up approximately 8% year-over-year, much of it based on the strength of political. We also expect to generate Q4 adjusted EBITDA in the range of $305 million to $325 million, which implies a full year 2022 adjusted EBITDA guidance range of $940 million to $960 million, which will yield the second highest full year EBITDA in the company's history. Further, for the full year, we expect to generate in the range of $325 million to $350 million of free cash flow. As we think ahead, I want to remind you all that in 2020, the worst year we have ever seen the company still generated positive free cash flow, and we expect those strong free cash flow generating characteristics to persist. We also expect political advertising to be a record for a midterm political year. We anticipate full year political advertising to be at the midpoint between the last midterm year in 2018 and the last presidential election in 2020. We expect our full year capital expenditures to be between $150 million and $160 million. And finally, we will continue to make significant progress towards our previously announced net leverage target of approximately 4x. I want to leave you with this. We are committed to ensuring that we have the right organizational structure and cost base in place to support our growing businesses today and into the future. We continue to maintain a rigorous allocation of capital and to work on identifying additional cost savings opportunities utilizing new technologies to increase our efficiency and reducing our lower ROI discretionary spending. This focus enabled us to execute a savings program of approximately $250 million from 2020 to 2021, which represent a reduction to our historical annualized cost base of approximately 10%. And with that context in mind, we have targeted an additional $75 million of annual savings, some of which was executed at the end of the third quarter, the remainder to be executed on in the fourth quarter and we will see the full benefit of these actions in our 2023 results. There remains significant macro uncertainty in the marketplace, but we believe we have taken all appropriate actions to further bolster our financial position today in order to remain resilient and outperform through any potential economic downturn. We appreciate you joining our third quarter earnings call. And again, I'd like to thank the entire iHeart team who continue to deliver for our communities, advertisers and shareholders. Now we'll turn it over to the operator to take your questions. Thank you.
Operator: [Operator Instructions] And your first question comes from the line of Steven Cahall from Wells Fargo.
Steven Cahall: And thanks for the guidance detail. It doesn't sound like you're seeing much of a slowdown in the ad marketplace. Now that we're into November and most of the election political bookings are kind of behind you. Could you help us kind of just unpack the strength on an ex-political basis. Maybe you can talk a little bit about how digital and multi-platform are performing. I think we're all trying to get a handle as to what the trends look like as we get into next year. And so again, as a real positive outlier here, maybe you can just help us unpack a little bit of what you see for the rest of the year once that political tailwind ends next week? And then I'll have a quick follow-up.
Bob Pittman: Sure. Let me -- I'll let Rich add some specifics. I think overall, I mean, certainly, this advertising year is not what we thought it was going to be the way it began. And so we are -- I don't think it has the robustness that we expected. However, I think you see in our business that we've not had a degradation of audience. And I think that if you've seen people falling off, it's -- some of it's been associated with audience erosion. I think the other piece is that we are a business that is concentrated more towards the larger advertisers. We run an analysis recently in Q3. And our largest advertisers substantially outperformed our smaller advertisers. And I think that goes to -- we asked ourselves, okay, what's behind that? And I think a large advertiser has the ability to spend even in slower economic times. And I think the 2020 experience, which we highlighted in the earnings call, where there was a sharp difference between the people who spent through the downturn, the people who did not. I think most of those people that lessons recent and they're thinking about it. I think when you get to the long tail advertiser, those are really small businesses. And if their business turns down, they just don't have the money to spend on advertising. So what has been sort of 1 of our areas we were looking for, for growth, which was how do we get into that super long tail turns out to be probably a positive in these days.
Rich Bressler: Steven, let me just add a couple of things to what Bob said, which may -- not knowing your follow-up question, but just maybe a little deeper. One of the things we've said all year and again, operating in this challenging environment. I think if uncertainty that we've seen is that we've got an incredibly resilient business, and again, to Bob's point, not exactly the year we thought we were going to have is still the second best year probably -- basis. And probably the best year we've ever had versus the second of this year, we've ever as a company on a free cash flow basis. And again, just as a decide, based on the guidance we've just given that guidance would tell you this will be the best revenue and EBITDA quarter than iHeart has ever had as a company going forward. And to your point, which was in terms of being an outlier, I think what you're just seeing is a combination of, as Bob pointed out, our reach the resiliency of the medium, the efficiency of the medium as we've continued to point it out, the diversity of our advertiser base. Just as a reminder, we have no category in our company that's more than 5% of our revenues. We have no individual advertisers that's more than 2%. And again, when you've got a challenging period of time, which none of us would like to operate it if we didn't have to. But at the same time, it allows us some things to come through that don't come through in other companies. And then with respect to political, really no change to what we said in the past, and I think Bob highlighted in his comments, this will be the best non-presidential political year that we've had. And just as regarded, I think the previous number was approximately $110 million as a company. The best political year we've ever had is -- I'm sorry, best President -- political presently we've had was approximately $160 million as a company. And I think we still be somewhere between kind of those 2 numbers, and that hasn't changed. And by the way, 1 last thing I'd add to you for your the majority of political advertising does come in Q4, just to give you some sense of completeness for your models.
Steven Cahall: Great. And then just as a follow-up, I know it's too early to guide to 2023. You announced some of the incremental cost reduction, which is certainly going to support it. And again, it sounds like you have some real revenue strength as we head into the year. So should we just if nothing else think that you'll be able to continue to deleverage between either free cash flow or EBITDA generation in 2023 versus where you might end 2022 at? I know deleveraging is a consistent target. So curious your thoughts there?
Rich Bressler: Well, I think your first statement will be the guiding on to my answer here that we haven't provided any 2023 guidance, and we're not going to provide that now. I think you see, as we highlighted in the earnings release, we came down into the mid-5s, we said $325 million to $350 million, I'm sorry, mid-5s in terms of leverage ratio. We talked about free cash flow number for the year of $325 million to $350 million, which if you look at the conversion of EBITDA to free cash flow. And I think if you put us up against other companies in our industry, we feel good about that conversion. As Bob and I, along with Mike always articulate with free cash flow people through cash flow, management team, and that will continue to be our focus. And this is an industry, particularly a business that just generates free cash flow, which I think generates a lot of equity value for our shareholders.
Operator: And your next question comes from the line of Dan Day from B. Riley Securities.
Dan Day: Yes, ended the quarter with a little under $300 million of cash. The guidance for free cash flow implies well over $200 million of free cash flow in the fourth quarter. So just maybe if you could talk about what you think is a good cash balance level here in an admittedly uncertain economic environment, and how much you'd be willing to sort of just let that cash build versus be as aggressive as you possibly can buying the debt back given it's being at a discount to par.
Rich Bressler: Well, it's Rich, look, I think the facts speak for themselves, we gave you the guidance. As you know, we're a fixed cost business. And Q4 is our biggest revenue quarter of the year always has been and this year will be no different. So it's no surprise that just when you look at the numbers and do the math, that free cash flow will be well and always has been the biggest free cash flow quarter. And the general comment we've made, and I think you've seen it executed in Q2 and Q3 is that we're always looking to be optimistic, I'm sorry, opportunistic and think but opportunistic on our capital structure and improve our cost of capital. And I think we highlighted in our opening remarks, that we bought back approximately $180 million, a little bit more of the 83-ish note, which resulted in an annual cash savings of $16 million. And when you look at any type of yield analysis, I think that's a pretty good return on our cash. And we'll continue -- that's been our focus since Bob and I have been in to run the company, and it continues to be our focus today with Mike.
Bob Pittman: And let me add on your point about what kind of cash balance we need 2020 was probably the swiftest and worst downturn either we look through. And even in that year, we have positive free cash flow. So I think we feel confident that we will have plenty of cash, plenty of liquidity regardless of what we always see.
Dan Day: Great. Appreciate it. And 1 more, if I could. Just if you could provide some color on what you're seeing specifically on the digital side, like after quarter end in the fourth quarter here, especially on podcasting. I think it would be obviously, the revenue growth decelerates lapping the tougher comps and the macro stuff. Just anything you can point to as far as podcast revenue growth in the fourth quarter?
Rich Bressler: Yes. Look, I mean, you saw -- I think I can talk about in terms of everything after quarter end, we indicated we closed out, I think October, preliminary closes were up over 8%. If you look at our quarters year-over-year and look at how we performed against the industry, you specifically asked about digital, and we have this highlight in our Investor deck, the digital excluding podcasting, according to MAGNA, the industry was up 10%, and we were up 15%, I believe. And the podcasting industry, again, also called -- was up 22%, and we were up 42% overall. So if you look at our digital business, it continues to be very strong. We don't really see any changes to that. And we talked about that we expect to be back to 35% EBITDA margins in the digital audio group in Q4.
Operator: Your next question comes from the line of Jim Goss from Barrington Research.
Jim Goss: All right. The write-down, I was wondering about that a little bit. Certainly, it's noncash. But aside from discount rates, it does seem to have implications about revenue expectations for the industry and maybe station values? Or maybe you think it doesn't. I just wonder if you can comment on whatever implications you feel it has?
Rich Bressler: No, I don't think -- I think it's significantly reflective of the interest rate environment that we're in. A majority of it, if not almost entirely, is at Again, this is a just to be clear, noncash, as you highlighted, so thank you for that. And it's just a very mathematical exercise, which is incredibly sensitive to the interest rate environment. I don't think it has any indication in terms of the future value of our assets or the value of the revenue generation capability whatsoever.
Jim Goss: Okay. But also, we are Well, I'm wondering what your economic expectations are. And if we were to move into a deeper recession, if we are in 1 now, -- is this around 2, but hopefully not as severe as what you experienced during the COVID situation? And how would you think you would fare if there was a step lower in the economy.
Bob Pittman: I can't imagine things get much worse than what we saw in 2020 because businesses shut down. and consumers were locked in their houses, consumer spending turned into savings, et cetera. But I think what's interesting here is normally between downturns, there's, what, 7, 8, 10 years, and people sort of forget and they do the same mistake again. So I can't remember 1 where 2 years later, we've got one. So I think no matter how severe, I mean I'm guessing, won't about how severe this gets, I think the fact that those people who made advertising decisions in 2020, and then when they came out, realized how much they had lost and how much more expensive it was to restart. We'll remember that. And I think it will moderate some -- any effect on advertising downturn, which obviously, for us, is the source of our revenue. So no matter what happens in the economy, what we're watching is okay, and how does that impact ad revenue.
Rich Bressler: And the only thing I'd add to that is, is just if you look at our results in this quarter, and I already gave you a number of test compared to the industry, you look at -- point, how we performed during the pandemic period of time. So again, you'll all run your own models on the phone and we don't have any better visibility into what's going to happen in the economy than you do, and we can't control that, but there are things we can control and our ability to operate through that and make sure we watch our costs and watch our free cash flow and understand what creates value for our shareholders. So -- so with that, we want to thank everybody for listening to the ad-hoc story, call. We are all available for follow-up questions and appreciate everybody's support.
Operator: This concludes today's conference call. Thank you for your participation. You may now disconnect.